Operator: Thank you for standing by, ladies and gentlemen and welcome to the Navigator Holdings Conference Call on the Second Quarter 2021 Financial Results. We have with us, Mr. David Butters, Executive Chairman; Mr. Harry Deans, Chief Executive Officer; Mr. Niall Nolan, Chief Financial Officer; and Mr. Oeyvind Lindeman, Chief Commercial Officer. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today. And now, I pass the floor to one of your speakers, Mr. Butters. Please go ahead, sir.
David Butters : Good morning, Laney. Good morning, everyone, and welcome to the Navigator second quarter earnings 2021 conference call. As we conduct today’s conference call, we will be making various forward-looking statements. These statements include, but not limited to future expectations, plans and prospects from both the financial and operational perspective. These forward-looking statements are based upon management assumptions, forecasts and expectations as of today’s date and are as such subject to material risks and uncertainties. Actual results may differ significantly from our forward-looking information and financial forecast. Additional information about these factors and assumptions are included in our annual and quarterly reports filed with the Securities and Exchange Commission. Now, before I hand off the call to Harry, I just have some brief comments and observations. It’s just about two weeks ago when we closed the acquisition of the Ultragas entity, the owner of 18 high-quality LPG vessels. And the rest of our team will have more to say about the importance of these transactions later on the call. But first, I want to personally welcome the former Ultragas employees who have recently joined Navigator. From everything I’ve heard and seen, you possess the same professional skills and enthusiasm demonstrated by our own Navigator team over many years. We need you and trust you will continue to enjoy a work environment that excites you and stretches your professional talent. I would also like to formally welcome our three new directors. Peter Stokes and Dag von Appen join us and represent the von Appen family, the ultimate owner of now 20% -- 28% of Navigator’s common stock. I have known these two gentlemen for over two decades, and I can attest that these two gentlemen are good business people and have strong judgment and of a fine character. Also joining our Board is Andreas Sohmen-Pao. Mr. Pao also has -- comes from a long history in shipping that goes back many decades and crosses several continents. We are very pleased that all these three gentlemen have agreed to join the Board. And I am confident that they will contribute significantly to the ongoing success of the Company. And I make an observation that Navigator is now a very special entity with two companies, two storied shipping companies in the business for many, many years, each owning a 28% interest in Navigator. It shows tremendous confidence and vision of what Navigator can do. We’ve had great belief it could do it on its own, but now with two real pillars beside us, I think, it is an extraordinary situation, and it can only be a sign of success. So Harry, let me pass the call over to you and the rest of your team to fill us in on what transpired over these last three months.
Harry Deans: Thank you, David, and good morning to everyone on the call. I hope you’re well. As you have you seen from our statement today, this quarter has continued to be impacted by the hangover from the southern freeze and the other macroeconomic events which have impacted income. Despite this however, this is our fifth profitable quarter in succession with income translating into an earnings per share of $0.01. And when combined with the Q1 performance, Navigator Gas had the best start to the year since 2016. Further, our operating revenues have increased to $85.9 million, and we have achieved an adjusted EBITDA of $28.2 million. Looking into the market more generally, Q2 ‘21 reflects the volatility in the U.S. olefins market, caused by the well-documented weather-related issues on the U.S. Gulf Coast, which significantly reduced cracker output in the region and led to substantially reduced production, a drawdown in inventories and a curtailment of exports from the U.S. Gulf. Although production rates have increased, they have not risen as quickly as predicted and have therefore taken some time to replenish the ethylene pipeline. This coupled with continued production hiccups, patchy cracker reliability and strong domestic demand and pricing has favored just domestic supply over exports, which has had a knock-on impact on our shipping business, and with it, the overall handysize utilization rates. These production headwinds have continued into Q3 and currently show no sign of abating. Although they have been partially offset by the U.S. ethane exports and the U.S. propylene import tailwinds, which have helped increase backhaul opportunities for vessels returning to the U.S. Gulf. With ethylene inventories at five-year lows and the hurricane season still upon us, producers have prioritized building inventory over exports. As a result of these headwinds, utilization rates during the period were impacted and dipped to the mid-80s with the overall fleet utilization ending the quarter at 85.4%. These rates have continued into Q3 as olefin capacity restarts and the U.S. domestic olefins pipeline begins to be replenished, bringing with it strong domestic demand and pricing. All of this puts pressure on export volumes and the ethylene arbitrage, which has been extremely volatile. Although we are now well into August, the anticipated bounce back in export volumes and the reopening of the U.S. to Asia ethylene arbitrage has yet to materialize in a substantive way, as can be seen on slides 10 to 12 in the supplemental pack. Product that is moving is going to Europe, which brings with it diminished ton miles and a corresponding reduction in the number of vessels required to service that business. This is a short-term hiccup in our journey. Despite the lumpy olefin export supply, our business remains on track to capitalize on further growth as the macro trading environment improves. And as we’ve previously announced, we integrate the Ultragas fleet in business with Navigator’s. This transformative combination, which solidifies Navigator Gas as the market leader in the space, has created a stronger, larger and more diverse fleet of 56 vessels, which will enhance our market offering and provide much needed flexibility and support to our customers. Ultragas’ fleet of 7 modern 22,000 cubic meter handysize semi-ref vessels; 5 12,000 cubic meter ethylene vessels; and 6 gas carriers under 9,000 cubic meters will position us to engage new clients and markets through increased coverage and geographical reach. The enhanced scale and combined fleet will provide cost savings, significant synergies, increased buying power and efficiencies throughout our business, which will allow us to capitalize on the structural growth of LPG and petrochemical gases being exported from Repauno, Pembina and of course, our own Morgan’s Point JV terminals, all of which are now on stream. These incremental volumes, combined with extremely low level of handysize newbuild activity, as can be seen on slide 19 of the supplemental pack, will when olefin supply balances normalize and when the U.S. to Asia ethane arbitrage reopens, tighten the market, increase utilization and further improve TCE rates. The combination of our two businesses and the required due diligence went well. Our businesses and teams are so complementary, and we were very pleased to complete the transaction on the 4th of August on exactly the same commercial terms as agreed in the LOI. In addition, the combination has introduced Ultranav as well as the BW Group as another major investor with longstanding experience in the maritime industry, which will benefit all of our shareholders, as intimated by David. We welcome to the Board, the three new directors who bring with them a wealth of maritime experience and financial knowledge. As previously discussed, the transaction is accretive to Navigator’s standalone budget in terms of anticipated revenue, EBITDA and EPS. Now moving on from the merger. Our core business remains strong. In addition to the four 12-month time charters we previously announced, we are pleased that Mitsui has once again chosen Navigator to increase the capacity of propane moving from the Pembina terminal in Canada to customers in Asia. Already in Q2, over 125,000 tons of product has been moved along this brand-new trade route between the West Coast of North America and Asia. Thus demonstrating why going directly across the Pacific, bypassing the need for Panama transit and minimizing transit times is so compelling. In addition, the underlying ethylene fundamentals remain unchanged. U.S. produced tons because of their advantaged ethane feedstock costs generate some of the best margins in the world. This will ensure product is priced for export when the supply-demand balance returns to normal, bringing with it a resumption of export volumes on normalized pricing differentials between the U.S. and Asia. Production from the U.S. Gulf Coast, olefin crackers continues to be very lumpy, and many facilities are still suffering from poor reliability following the numerous recent outages. This has led to a number of unplanned technical stoppages and shutdowns, which has rapidly swung pricing and balances. In the face of this, our diverse fleet has moved record ethane and propylene volumes which have helped to partially offset this reduction in volume. As always, we expect stronger winter volumes to underpin utilization rates going forward. Our Morgan’s Point ethylene JV terminal exported 155,000 tons in the quarter and returned to profit as it ramped up following the Q1 pipeline outage. Furthermore, our unique and now increased market position also remains challenged with the forward order book for new builds now standing at around 5%, with minimal vessel deliveries in ‘21 and ‘22. 20% -- yes, that’s right, 20% of the entire handysize fleet is now more than 20 years old. So, there’s really no pressure of vessel oversupply in our growing market. And efficiencies are also on the up, with increased transit times in the Panama Canal, prolonged dry dockings and more COVID scares delaying vessel transits. With the three incremental U.S. export terminals now completed and with Marcus Hook MEII now running at 50% and ramping up, ME2X scheduled for start-up in Q4, we expect volumes to firm in the next few months. Therefore, no surprise that we maintain our positive outlook on short and medium-term TCE rates and the handysize market in general as there are a lot of factors that should exert upward pressure on rates. To summarize, the macro trends are all pointing in the right direction. We have strengthened our business through our merger with Ultragas and created the clear market leader in this space. We expect the merger will deliver many synergies, and we will make our business safer and more efficient. This coupled with our 56 vessels, our scale and our flexibility and diversity of our fleet, together with the unparalleled infrastructure investment, our business is uniquely placed to seize new market opportunities. This enviable position will ensure that we are well-poised to capture the market upside when the short-term ethylene supply issues are resolved. With these few remarks, I’d like to hand you over to our CFO, Niall Nolan, who will take you through our Q3 financials. Niall?
Niall Nolan: Thanks, Harry, and good morning, everybody. We generated a net income of $300,000 for the second quarter of 2021 compared to $3 million for the second quarter of last year. Although last year’s profit was in a large part as a result of a reversal of foreign exchange losses made in the first quarter of last year, 2020, following the global market’s initial reaction to COVID. Adjusted EBITDA for this second quarter was $28.2 million, as Harry mentioned. And the EBITDA from the terminal operations was $3.4 million, resulting from revenue relating to 155,400 ethylene tons during the second quarter. Total operating revenue from the vessels during the quarter was $85.9 million, similar to the $85.7 million generated last quarter, Q1 2021, but a 4% or $3.4 million increase from the $82.5 million during the second quarter of last year. This year-on-year increase was achieved as a result of an increase to average charter rates which rose to approximately $22,200 per day or $675,000 per month from around $21,600 per day or $657,000 per month a year ago. But also this quarter’s average charter rates were an increase from last quarter, Q1 2021, when the average charter rates were $21,950 a day. Utilization, however, remained a challenge, as Harry mentioned, at 85.4% for the second quarter, compared to 88.2% and 88.3% for Q2 last year and Q1 of this year, respectively. 7 vessels were in dry dock for their scheduled surveys during the second quarter, taking a total of 158 days, thus reducing revenue. This compared to only two vessels during the second quarter of last year as the effects of COVID prohibited or at least restricted ships going into dry dock. The cost of the 5 dockings that were completed during the second quarter was approximately $7.5 million. In total, 14 vessels are scheduled to be dry docked during 2021, 2 of which were undertaken in the first quarter, 7 this quarter and 5 remaining over the course of the next number of months. The aggregate cost of the 14 2021 dry dockings is estimated to be $19.3 million. Other than dry dockings, the Company does not have any planned cash outlay for capital expenditures during 2021. Voyage expenses increased by $3 million during the quarter to $17.7 million from $14.7 million for the second quarter of last year. These are pass-through costs reflected in increased revenue and arose primarily as a result of an increase in the price of bunkers or fuel for our vessels. With respect to operating revenue and voyage expenses from the Luna Pool, the operating revenue from the pool of $5.6 million for the second quarter represents our share of the other participants’ revenues, whereas voyage expenses from the pool of $5.5 million represents the other participants share of our revenues from the pool. Vessel operating expenses increased to $28.2 million for the second quarter, equating to $8,336 per vessel per day compared to $7,661 per vessel per day during Q2 of last year. Vessel operating expenses were $8,115 per day during the first six months of 2021. Although this is an increase -- which although this is an increase from last year, it is primarily as a result of the effects of COVID, which has resulted in some vessel operating expenses being deferred to this year. General and administrative costs were $6.3 million for the quarter, a significant increase on the $4.5 million during the second quarter of last year. However, the reduced G&A costs of last year were largely as a result of the reversal of the foreign exchange gains that I just mentioned from the first quarter of last year. And this second quarter’s general and admin costs of $6.3 million were consistent with those incurred during the first quarter of this year. The other income of $88,000 for the second quarter or $160,000 for the first six months relates to management fees received from the other participants -- for the management of the Luna Pool. And interest costs for the second quarter were $8.6 million, $22.3 million less than the same quarter last year, primarily as a result of reductions in U.S. LIBOR. Applicable U.S. LIBOR remains low today at approximately 0.15%. And our share of results from the ethylene Marine Export Terminal were a gain of $2 million for the quarter, based on the 155,000 tons mentioned earlier. In addition, depreciation for the terminal was $1.4 million, giving an EBITDA of $3.4 million for the quarter from the terminal. The Company had cash of $96.4 million at June 30th against the minimum liquidity covenant of $41.4 million. In addition, we had a further $37.6 million available from undrawn revolving credit facilities associated with our secured vessel loans, taking total cash available to $134 million. Our total debt at June 30th stood at $828.3 million, which incorporates six bank loan facilities secured by our vessels, a credit facility associated with the terminal and two Norwegian bonds. Of this debt amount, there are no loan maturities during the remainder of this year, and only an aggregate of $50 million repayable during 2022. For the third quarter, we will be incorporating the results and balance sheet of Ultragas with effect from August 1st, the effective date of the transaction. Pro forma details are included in the supplementary information pack on our website. And with that, I’ll hand you over to Oeyvind.
Oeyvind Lindeman: Thank you, Niall, and good morning to all the callers. Operationally, the second quarter of ‘21 has been characterized by both, commodity price volatility due to the lasting impact of the Texas freeze as well as likely short-term shift of offtakers from the Far East to European shores. If we turn to the U.S. ethylene pricing first, we saw a peak of $0.64 per gallon at the height of the Texas freeze in February before then seeing a low of $0.26 per gallon during April. As you can expect, this has in itself created unique market dynamics during this period and increased focus on ethylene inventories which there previously wasn’t, further increasing volatility during the period. Looking at more recent prices, U.S. ethylene has since rallied from lows, increasing to $0.55 per gallon, following some scheduled shutdowns of three plants combined with a delay in the start-up of a new cracker. However, corrections in pricing are slower than we previously estimated. Despite this, the current Nova ethylene price, which is one of the benchmarks in the states, adjusted from $0.52 per gallon Monday last week to $0.39 per gallon five days later, which is quite a substantial drop, which is good. And the price of ethane as a piece of remains competitive on a global basis. Further, oil above $60 per barrel further supports the international demand for U.S. ethane and ethylene. Despite the volatility, the U.S. increased second quarter ethylene exports by 40,000 tons to a total of 175,000 tons compared to the first quarter. Our rule of thumb is a nameplate capacity of about 100,000 tons per month proportion, 80% Enterprise Navigator Export Terminal and 20% Targa Terminal. And so we, therefore, see a lot of unrealized upside. Whilst our ethylene earnings are influenced by the amount of physical tons that are being exported, it is also influenced by the final destination. During 2020 and first quarter of ‘21, about three quarters of the cargoes were shipped across the Pacific to Far East offtakers. Most of the volumes during this second quarter, however, headed the other way to European offtakers resulting in shorter voyages. Until the U.S. ethylene price reverses back to more normal and less volatile state, we estimate continued exports to Europe -- help the arbitrage remains viable, which can be seen on page 11 in the pack. Most of our handysize ethylene carriers in the Luna Pool are trading in the spot market. When we have open capacity, we actively seek employment opportunities across the different petrochemical trades. One important opportunity lies with ethane. Year-to-date, we have exported the same volume of ethane as of ethylene from Houston. It is becoming an increasingly important part to our earnings days. In total, our fleet loaded a record 90,000 tons of ethane during the month of June. And increased ethane and ethylene proportion of our petrochemical earnings days to 60% for the quarter compared to 53% during the first quarter. Further, we are set to export a record amount of ethane from Marcus Hook for 2021 with additional volumes coming from the new Energy Transfer, Orbit export terminal in Nederland, Texas. We have the pleasure of having both the inaugural handysized and mediumsized ethane load operations at this terminal during April. It is also the first time whereby all of our four ethane, mediumsized gas carriers are time chartered, connecting the three American ethane export terminals with international markets. During the period, we saw additional demand in propylene with Navigator already exceeding the number of propylene earnings days for the first seven months compared to full year 2020. The arbitrage from east to west is predicted to continue into next year, providing additional ton mile demand to our now expanded semi-refrigerated fleet. Finally, looking at the general global LPG trade, we have seen a sideways movement. Historic high U.S. LPG prices are not helping export trades. And similar to ethylene, the U.S. needs to build up its inventories for the winter, which combined with the high price has reduced export, despite increase in production. The somewhat dampened demand for LPG has resulted in time charter assessment to be adjusted across all gas segments during the quarter, with the midsize segment going from $720,000 per month to $685,000 per month and handysize semi-refrigerated moving from $670,000 per month to $635,000 per month at the end of the quarter. Despite this, we believe the trend should stabilize and turn over the next few months. This is based on eight items. First, the order book. As Harry mentioned, it is continued historically low order book in our segment, which is always a positive for any shipping segment. Second, the U.S. natural gas liquids. According to the EIA, U.S. recorded highest level of production in its latest figures, which is set to continue. Third, ethane. The new export opportunity for ethane from Nederland, Texas, adding opportunity to our already increasing involvement with ethane trade. Fourth is ethylene. North America ethylene pricing is forecast to revert back to arbitrage territory to Asia. However, whilst we wait, the volume is set for Europe. And inventory level for first half 2021 is the lowest compared to the last five years, but is set to change. Propylene, the record volumes from propylene from East to West is expected to continue. And the handysize LPG export is on the rise from East Coast, including from both Marcus Hook and Repauno, and in addition, we have one additional vessel heading for the Pacific Coast to enter the Canadian export program from Prince Rupert terminal. Consolidation, Navigator and Ultragas handysize fleet are now marketed under one umbrella, improving our service platform towards our customers and enable us to better optimize our fleet planning. And lastly, but let’s not forget ammonia. We have doubled our ammonia time charter coverage from two vessels at the beginning of the year to four vessels at end of this quarter. We recorded the highest amount of ammonia carried last month, totaling 135,000 tons. We expect ammonia to take a more prominent role to our contract coverage going forward. This concludes the operational segments, and I would like to hand it back to David Butters. Thank you.
David Butters: I think we can take questions now, if that’s appropriate.
Operator: Thank you. [Operator Instructions] And we will now take our first question. Please go ahead. Your line is now open.
Sean Morgan: Hi, guys. This is Sean Morgan from Evercore. So, regarding the terminal throughput, I think you guys said you did about $155,000 and with -- I think, the kind of base nameplate capacity is supposed to be about 1 million tons per annum. Sorry, I have a little bit of a noise on the street here. So, I guess, was the -- the difference between the 250,000 tons you should be able to do in kind of the base nameplate versus what was done during the second quarter, was that operational limitation, or was that due to -- I guess, due to a lack of -- or slower demand relative to this arb that you kind of discussed on the call?
Oeyvind Lindeman: Sean, it was not operational. It was relating to the pricing of U.S.-produced ethylene. So, the reasons that Harry went into some detail on, the price was too high, so it made more sense for the producers to sell in the U.S. compared to exporting. Now, -- and that had all to do -- and the core -- the reason why was because of the Texas freeze and all the havocs that that caused with the production units. So, that had a lingering effect into second quarter. But, it’s all to do with U.S. domestic production, low inventory level rather than the terminal itself.
Sean Morgan: Okay. So, with half of the quarter on the books now, are you seeing the run rate currently -- is that close to 2Q, or have you kind of gotten a little bit of an improvement? Is that demand issue still, I guess, going to be a problem for Q3 in terms of the terminal exports?
Oeyvind Lindeman: Yes, it’s continuing in the same vein as the second quarter for the throughput themselves. August was low because unscheduled outages of various plants. So, there’s 3 plants in particular, and there was a delay of a new one. However, as I just mentioned, last week from Monday to Friday, the Nova ethylene price in the U.S. went from $52 to $39 in one week. So clearly, something is happening. So, the market is trying to get back to normal state. Now, some of the consumers of ethylene are building -- paying up and building inventory just to hedge themselves for hurricane season. So, fingers crossed that is not happening. But, -- so there’s several dynamics happening in the U.S. at the moment. So, the pricing wants to come down. However, the inventory levels are low, causing this volatility. But, our expectation is that September, how we look now with the customers and so forth is higher than August, but not near max capacity as we would like.
Harry Deans: And Sean, it’s Harry here. So, if you remember the terminal, we have take-or-pay contracts in the terminal. So, if the contracted parties decide not to put the volume down the terminal, they still have to pay for the capacity. But, there is a bit of a lag effect on that, but the deficiency payments that our contracted partners will have to pay, they don’t use the capacity as per the contract. So, there is a bit of a balancing mechanism as well on the terminal profitability, Sean.
Sean Morgan: Okay. But, those take-or-pay contracts were also in effect last quarter. So, we should probably I guess, gauge our expectations similar to Q2 and not terribly optimistic on, I guess...
Harry Deans: Yes. I don’t think you are too far off by taking that assumption, Sean.
Operator: Thank you. We will now take our next question. Please go ahead. Your line is now open.
Randy Giveans: Gentlemen, it’s Randy Giveans from Jefferies. A couple of questions. You mentioned on the last call that fleet utilization is expected to be 90% plus in 3Q ‘21. Is that still the guidance for this quarter? And what is utilization currently?
Oeyvind Lindeman: So, utilization is moving sideways, similar to second quarter, mid-80s, due to the reasons that we discussed that A, ethylene that is moving from the terminal is going to Europe as opposed to Asia, and there is less volume from the terminal itself. So, that is one feature that has impacted ethylene side of things. However, some of the slack has been -- we’ve been pivoting carrying ethane instead, but it hasn’t outweighed the loss of some of the ethylene ton mile demand.
Randy Giveans: Okay. And I guess, following up there, can you give guidance for what your expected throughput will be for the third quarter and even net income for the JV for this third quarter? I know you did $155,000 in the second quarter, what kind of number are we looking at for 3Q?
Harry Deans: Yes. Randy, it’s Harry here. With regards to the terminal, I think we’re going to be in the same sort of ballpark as we were for Q2.
Randy Giveans: Okay. All right. And then, last question, just looking at the Ultragas merger. So, 11 of the 18 vessels acquired, it could be considered noncore or certainly smaller than your focused kind of handysize segment. So, do you want to operate those smaller vessels, will you look to sell? Some of your peers seem to be in the market for buying those smaller 5,000 to 11,000 CBM vessels, or if you want to operate it on the other hand, any interest in gaining further scale by acquiring additional small LPG vessels from another operator?
Harry Deans: Hi Randy, it’s Harry here again. The smaller vessels are operated through the Ultragas pool, which is well established and one of the market leaders in that sphere. In fact, we’ve seen various things for almost as long as I have, still over 50 years, which is saying something. So, they’re pretty specialists that operate in those smaller gas carriers up to 15,000 cubic meters. It seems to be working well. We’ve got two great partners in Sloman Neptun and Bernhard Schulte. And not only are we part of that pool, we’re actually an owner as well. So, it’s in our interest to optimize the efficiencies of that pool and to maximize the dividend back to the Company. In terms of the strategy for those vessels, I think it’s too early to say. We’ll continue with the pool. We’ll continue to evaluate our options opposite those vessels. And also, because -- if you recall, Randy, because we’re competitors, we weren’t allowed to exchange sensitive commercial information with Ultragas prior to the merger. Otherwise, we’d be accused of jumping the gun and get ourselves in lots of hot water with competition authorities. So, we really only had two weeks to actually get in there and have a look. But, the good thing is once we did the merger, the very first thing that we did is made sure, as Oeyvind said, that we had one face to market with the customers. And the commercial team worked really hard on day one to make sure that nothing went wrong. We kept all the lights on, but more importantly that the customers were serviced with one voice and one team. So, the merger is going extremely well. As David said, we’ve got great people, great assets, great processes, great IT as well. We’re looking forward to sharing those across the company and seeing where we can get synergies and where we can optimize and boost efficiencies between the two companies.
Operator: Thank you. We will take our next question. Please go ahead. Your line is now open.
Ben Nolan: Hey guys. So, I have a couple. First, as I was going through the fleet list, I remember a number of the vessels, there had been contracts or may still be contracts on a number of vessels, and I was just going to check on where those stand. Specifically, I believe the Sibur contracts are up for -- or there is an option for those to be renewed, just curious where those stand. Also, there was the Braskem ethane contract, curious if that still exists. And then also, there was COAs on a number of ethylene vessels. And curious if that goes to the pool or how to think about that. So, any color on those?
Oeyvind Lindeman: Yes. Good question, Ben. So, if you talk about the ethylene contract, they fall in under the Luna Pool. So all the ships that are in the Luna Pool, performing for the Luna Pool, that goes to that entity which we commercially manage. So, the ethylene contracts, particularly with Marubeni remains there for a number of years, which is great, and that will continue. So in terms of the LPG questions you asked regarding Sibur, so they -- I think it’s covered on page 10 in the document. So, they run until 2022 and 2023. So, it’s still too early to discuss renewal, extensions and so forth. They are trading in the North Sea program for them for the time being, and they’ve been there since delivery. In terms of ethane, there is renewed interest, strong renewed interest in ethane projects, ethane contracts, particularly on the spot market. This is not because of the opening of a third ethane terminal in the U.S. So, the Braskem one in particular is running on a spot basis between U.S. and Mexico. So that is that trade. So, it’s a dynamic situation. There’s no time charters we have had that has gone off that of worth -- of note, sorry. We maintained our position about 50% coverage on time charters, which is reserving the remaining for uptick in the market towards the end of the year that we have been talking about. So, we are ready to take action on that. I don’t know whether that answers your question.
Ben Nolan: No, it does. And well, it sort of leads into the second one, being utilization, all sorts of things have sort of cropped up from weather and all this kind of thing that have had impacts on utilization. Is there any thinking that you guys might have about maybe seeing about putting a greater percentage of the fleet on time charter contracts just to ensure that your utilization can stay wherever, 90% or higher than it has been?
Oeyvind Lindeman: We evaluate every time charter opportunity that comes across the desk. And also when we’re out talking to clients, trying to figure out what is the best contract type for them, whether that is a contract of affreightment. But now we have a much larger platform to service clients on, particularly on the LPG side. So is it a time charter? Is it a contract of affreightment? Is it spot? Is it contracts that are in direct continuation? So, all those items are evaluated, and I said in order to sort of position the fleet in the right way for the uptick. So, it’s a good question. It’s something we think about every day about what should -- what is the optimal coverage for Navigator. And for sure, is there a trade-off rate versus coverage, which has some implication of utilization, it’s something we think about a lot.
Ben Nolan: Okay. And then, lastly for me, and I’ll turn it over. You talked about the fleet and now 20% of the fleet is over 20 years old and only 5% of the fleet -- relative to 5% of the fleet being on order. You guys do have some of those 20-year-old vessels, I noticed that Magellan is 23 and then the -- some of the legacy ethylene vessels are 21 years old. How do you think about the useful life of those, or at what point do you have to start to think these are candidates for sale or recycling or something no longer part of the fleet?
Harry Deans: Yes, we do have -- some of the vessels are that we have are in that 20-year plus bracket. We continually reassess them and make sure that they are worth more to us than they might be to someone else or worth more to us than it might be if we decided to recycle them. As you can see from our earnings over the past couple of years, those vessels are well-utilized and they’re earning a return for the Company. Now, I can give you chapter and verse on our depreciation strategy as it is today. But we depreciate the vessels for a useful life of 30 years, and as we’ve done for many years.
Ben Nolan: So, is it fair to extrapolate then that if you’re depreciating them over 30 years, and 23 is still -- there’s still some you would anticipate or it’s fair to anticipate there’s some useful life still then from your perspective?
Niall Nolan: Ben, hi, it’s Niall. That is something that we are reviewing at the moment. Certainly, 30 years, when these ships came into service, and particularly with the exception of Magellan that you mentioned, the other ships are original plants -- the ethylene ships. They are still carrying ethylene. All of them are carrying ethylene or have been throughout this year and therefore are part of that strategy of servicing the enterprise Navigator terminal. So, that will continue. Obviously, the world has moved on in terms of ecology and whether ships will be able to survive 30 years. Technically, they will. But whether they will be acceptable to oil majors and the like is something that we are looking at and maybe 25 years, maybe the current norm.
Operator: Thank you. We have no further questions at this time. I would now like to hand back to management for closing remarks.
David Butters: Well, thank you. So, it was a good call. I look forward to another one in three months’ time when we may have an update further on the development of both the ethylene and particularly the ethane segment business. So, thank you for joining us this morning, and look forward to talking to you again. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.